Carmen Calisto: Hello, and welcome to Karooooo's Financial Year 2025 Q1 Earnings Call. On behalf of Karooooo, we would like to thank you for joining us today. I'm Carmen, the Group's Chief Strategy and Marketing Officer, and together with Hoeshin, our Group Chief Financial Officer, we’ll be taking you through our key business updates and strong financial performance. All investors are advised to read through the disclaimer. We will be reviewing both Cartrack and Karooooo Logistics in today's webinar. After a milestone Q1 for net subscribers, we continue to profitably grow its scale, and now have over 124,000 businesses choosing to power their operations every single day with our cloud. Management believes we are on track to achieving our FY ‘25 outlook and remain excited to continue on our over 10 year track record of strong financial growth and performance. Physical operations bring us the food we eat and the infrastructure we rely on to call our families. They build our homes and they keep our communities healthy and clean, whilst often overlooked these physical operations power, everything we do, they're the reason our lives have become easy. They may not appear glamorous, but their work is admirable and complex and challenging, and still, as they continue on their missions to carry our economies, physical operations are experiencing big changes in their environments. Customers are more demanding. Costs are rapidly rising, and competition is heightening. In the day-to-day of running a physical operation, there are tons of moving parts between accidents, resource planning, timeline commitments, worker productivity, compliance, and customer expectations there's a lot that can go wrong, and then there's a extra layer of executing on everything beautifully whilst keeping your costs down and business efficient. This is no small feat. Now, the problem is that these physical operations are mostly paper-based or using five separate complex systems that don't speak to each other. The result is that they either don't have data, get lost in it, or are living siloed verticals within the same operation. What this means is that they severely lack visibility and control of their operation and become crippled by their inability to make decisions. The left hand doesn't talk to the right hand. As we continue to look beyond vehicles and equipment, Karooooo brings all aspects of a physical operation into a single easy to use and unified platform that simplifies the decision making of physical operations. By empowering simpler decision making, our customers can spend less time, energy, and resources wondering about where they should be spending their time, energy, and resources. Instead, they can focus on executing on their own missions and goals, whether they want to boost safety, increase service delivery, double profitability, or reduce emissions our cloud platform guides them on a great way to do it. Through simpler decision making, physical operations become faster, more agile, and exceed on efficiencies. We collect over 170 billion valuable data points monthly through IoT devices and open integrations, contextualize this data with our advanced algorithms and provide customers with a centralized platform that helps them overcome their challenges. Everyone talks about data, but the truth is most people aren't great at interpreting it. Given Karooooo's vertical integration and long track record of strong capital allocation, we have a real edge in knowing what data actually matters to physical operations and how to take that data and transform it into an actionable insight that drives impact. We apply our own operational learnings to our platform and constantly innovate to ensure our platform screams of simple decision-making, of fast decision-making, of agile decision-making, of profitable decision-making, our platform is easy to use and it's pragmatic. Our operations cloud drives digital transformation for over 124,000 commercial customers with a 95% retention rate across businesses of varying sizes in diverse markets and industries. Despite varying macroeconomic headwinds, we continue to grow. The value proposition of our platform is massive and we have a huge runway for growth. On screen, getting a parcel from A to B seems relatively easy. You click add to cart and it just shows up. But behind the scenes of a paper-based logistics company, is a lot of manual mapping, distance calculating, capacity restraint and time matching, clustering, sequencing, shuffling, tabling, assigning, and reassigning. As you can imagine, not only is this a massive waste of time, energy, and resources, but it also leads to massive costs and inevitable wrong orders, which in turn leads to the inability to compete in a less-than-ideal customer experience. But with Cartrack's delivery solution, a business simply uploads their jobs and details, selects which drivers are available, and our AI delivers them with an optimized schedule that ticks all the boxes. They simply review it and say yes. By digitalizing a leading medical labs logistics infrastructure, they have gained full visibility and control of their operation. They have seen massive results in productivity, allowing them to differentiate themselves through a 20 minute SLA and scale their business, all whilst halving their admin costs. When decision-making is decoded, it becomes simple. And when it's simple, companies can achieve great things. In other instances, operations lack the visibility to understand where their problems come from. With advanced fuel solutions, we were able to help our customer understand that idling was costing them tens of thousands each year. And through the simple decision of implementing a proactive buzzer and gamifying driver behavior, they could slash this quickly. Through our in-cabin idling buzzer and proprietary gamified driver scorecards, a leading F&B operation reduced their idling time by over 42,000 hours, equating to over US$300,000 in fuel costs over one year. When drivers spend hours on the road every single day, they begin to make mistakes that have huge consequences. They do this without even realizing it. In these cases, decisions need to be made instantly to have the largest impact, whilst the manager can coach after the fact on safe driving, nothing quite beats alerting drivers in real-time whilst they still have the chance to correct their behavior and avoid the high-risk incident from occurring in the first place. Now you can't have a paranoid passenger keeping drivers safe in every vehicle, but you can use Cartrack's AI-powered camera to do the same thing. Our cameras detect for high-risk driving behavior, alert drivers in real-time, and upload footage for managers to review. Managers simply review the infractions alongside trend insights to quickly know which course of action to take next using our powerful coaching tools. Through AI decision-making and practical tools, managers take simple steps towards maximizing their fleet safety with impressive results in only months. Not only do our vision solutions help customers make instant improvements to safety, they also offer operations a way to make factual decisions about events rather than leaving things to guesswork and draining he said, she saids. Businesses can remotely request footage from our cloud to gain the evidence they need to simply investigate an event and exonerate their innocent drivers. One customer saved over US$60,000 in five months just by proving their drivers were not at fault in incidents. Not only is this a massive cost efficiency, but the simplicity of decision making eliminated manager work attentions from lengthy and often inconclusive investigations, which has had a large impact on driver retention and morale. After years of strong execution we believe we are only getting started. Our strong track record of innovation and successful execution with sustained capital allocation discipline puts us in a strong position for growth. We continue to believe Southeast Asia will be a large driver for growth and continue to invest in continuous platform innovation, both in solutions that will simplify the decision making of businesses today and tomorrow. We continue to leverage our large data scale to add value to our customer's operations with enhanced analytics and comparative benchmarks. Our data scale remains largely untapped and has a massive opportunity ahead. This quarter we look forward to moving into our new office in Johannesburg that will allow us to further unleash our potential as we move into an environment that is more conducive to our working culture. A key differentiator for Karooooo is our culture, largely driven by our founder led approach to business. Our culture is not for everyone. It is highly entrepreneurial, practical, agile, fast, demanding, transparent, and customer centric. Our culture is at the core of our ability to achieve strong growth at scale with compelling financials and a robust balance sheet. Our culture keeps us innovative, ensuring we continue to deliver an easy to use platform that drives strong value through simplified decision making for our customers. We are vertically integrated. We own the systems and tools that empower us to deliver world class service to our customers. More importantly, we continue to invest in these proprietary tools to ensure we remain agile and resilient against headwinds. We understand the importance of successful implementation and how to ensure our customers achieve it. We believe in strong monitoring and strategic and disciplined capital allocation. We have a robust business model and are geared for growth with a massive opportunity ahead of us. I will now hand over to Hoeshin, who will take us through our strong financial performance for the quarter.
Goy Hoeshin: Thank you, Carmen. I will now talk through Karooooo's financial performance for quarter one FY ‘25. Please note that all comparisons are against quarter one FY ‘24 unless otherwise stated. Our proven and profitable sales business model continue and delivered a solid start for the financial year. In this quarter, Karooooo's experienced strong customer acquisitions, total subscription revenue up 15% to ZAR964 million and as expected after substantial investment for future growth in all segments, operating profits up 34% to ZAR300 million and earnings per share up 41% to ZAR7.17. All segments continue to see strong traction with the benefits of our strategic investment beginning to show. As our earnings improve with high cash conversions free cash flow in this quarter stood at ZAR83 million, the free cash flow generated is keeping with our planned capital location for future growth. In this quarter, ZAR37 million are invested in the development of South Africa's central office and a total of ZAR304 million were invested to date. Capital expenditure incurred relates to telematic devices installed as a result of increase in new subscribers. Our strong track records of disciplined capital allocations, earnings and free cash flow will continue to bolster our balance sheet. Karooooo's earnings per share up by 41% to ZAR7.17 in this quarter. The increase is driven by higher subscription revenue and expanded margins. The negative impact from Carzuka’s on earnings are now resolved with Carzuka fully integrated to support Cartrack's operations. Cartrack's earnings per share up 29% to ZAR6.94 and Karooooo logistic earnings per share up 188% to ZAR0.23. Karooooo will continue to scale, grow and increase its earnings to meet our outlook. Our consistent results extend our track records of growth at scale, profitability and cash generation ability. Our net cash on hand plus cash in bank fixed deposits stood at ZAR950 million. Debtor's turnover day stood at 30 days alongside with prudent provisioning to weather off strong economic headwinds in some of the markets we are operating. The healthy cash generation continues and we are pleased to announce a cash dividend of US$33.4 million to our shareholders and the dividend will be paid in August 2024. We have strong unit economics, robust operating margins, unleveraged balance sheet and strong cash conversions. We remain confident that our track record of success, especially our ability to generate healthy cash flow is sustainable. We will now focus on Cartrack, the underlying assets of Karooooo's success. Cartrack continues to prove its ability to scale in varying macroeconomic conditions and consistently beat the rule of 60. Overall, subscriber grew at scale by 17% to 2,047,442 and in this quarter subscription revenue grew 15% to ZAR960 million. Operating profit stood at ZAR287 million. Cartrack experienced strong customer acquisition with net subscriber addition up 88% in this quarter. We operate in a huge addressable market and are comfortable we will continue to grow at scale with the opportunities in front of us. As Cartrack continues with strong SaaS revenue growth, Cartrack total revenue and subscription revenue up 15% to ZAR981 million and ZAR960 million in this quarter. Cartrack's total subscription revenue represents 98% of total revenue, which is in line with our SaaS business model. Cartrack's earnings per share up 29% to ZAR6.94. Our earnings will continue to benefit from our strong economies of scale. As Cartrack continues to have strong visibility of its future SaaS revenue, our realization of economies of scale continues to demonstrate our ability to drive earnings. Gross profit in this quarter up 19% to ZAR713 million. Gross profit margin improved to 73%. Despite the investment for growth, our operating profit up 24% to ZAR287 million and operating profit margin improved to 29%. Our adjusted EBITDA up 16% to ZAR392 million and adjusted EBITDA margin remained consistent at 46%. Cartrack low cost of acquiring a customer, high customer lifetime value and retention rate, as well as strong benefits from economies of scale results in our leading unit economics. Our LTV to CAC is over 9. We have strong profit margins with our gross profit margin on subscription revenue at 74% and commercial customer retention rate of 95%. We are well-positioned to continue scaling while we remain prudent and disciplined with our capital allocation. We will continue to invest in territorial expansion and growth of the business. Over the years, Cartrack has maintained a steady ARPU and an average upfront cost of acquiring a subscriber. ARPU for the quarter was ZAR159. In this quarter, Cartrack's average lifetime revenue per subscriber are ZAR9,551. And the average upfront cost of adding a subscriber to our cloud was ZAR2,370. These costs mainly relates to sales commissions and telematics device, which are capitalized and sales and marketing expense that are expensed off. The headroom derived from the average lifetime revenue per subscriber after subtracting the average upfront cost of adding a subscriber was ZAR7,181 per subscriber. From the ZAR7,181, we incurred a cost to service a subscriber over the contract lifecycle of 60 months. The cost to service a subscriber will decrease as we grow our subscriber base. Our unit economics have remained steady, allowing us strong operating profits. Cartrack continued to grow its subscriber base and ARR to expand in all geographies. Our subscriber in South Africa grew by 16% and the prospect of improved economic condition in South Africa give us confidence that we can continue to extend our long standing track records of profitable growth at scale and robust cash generations. Our move to our newly built central office in coming September, 2024 will continue to support strong organic growth in this region. In Asia, the Middle East and USA, subscriber grew by 93% with solid traction in Southeast Asia. Southeast Asia remains as the second largest contributor to the group's revenue presenting the most compelling growth opportunity to the group in medium to long-term, Europe saw a healthy growth of 17% and remain as a region we are focusing our resource on. Leading OEMs partner with us to give their customer access to our platform. We expect this partnership to contribute to our results in medium-term. In additions, we are experiencing encouraging demand for our proprietary compliance technology in this region. Africa, others maintains its growth with 14% increase in subscriber. At the end of quarter one, our ARR up 14% to ZAR3,864 million. This is at a good trending as we continue to see the momentum of growth in our subscriber and ARR. In this quarter our subscription revenue growth profit margin grew to 74%, which is consistent with our expectation as we continue to invest in territorial expansion and growth in the region we are operating in. Our research and development expense as a percentage of subscription revenue are 6% and sales and marketing expense as a percentage of subscription revenue increased to 15%. This strategic investment in customer acquisition will position us well for continued growth. General and admin expense as a percentage of subscription revenue are at 21% as we are investing to build strong infrastructure to support our growth, we are also demonstrating our ability to contain costs. Operating profit as a percentage of subscription revenue are 30% and our adjusted EBITDA as a percentage of subscription revenue at 47%. Cartrack continues to have consistent operating metrics with our strong track record of performance. Karooooo Logistics continued to gain adoption by our large enterprise customers seeking to scale their e-commerce capabilities. In this quarter, Karooooo Logistics delivered significant growth generating ZAR101 million in revenue and an operating profit of ZAR13 million. We see large opportunity for Karooooo Logistics and we believe, we have the correct strategy to win, as we are customer-centric and we will help our large enterprise customer to be customer-centric as well. We have had a solid start to our financial year 2025, and we are on track to meet our outlook. Our guidance for our outlook remains unchanged with Cartrack's numbers of subscribers between 2.2 million to 2.4 million. Cartrack subscription revenue between ZAR3.9 million to ZAR4.15 million, Cartrack's operating profit margin between 27% to 31%, and Karooooo's earnings per share between ZAR27.5 to ZAR31. Our mission is to be a leading operation cloud service provider. I would like to thank everybody for joining us today, and will now open the floor to Q&A with our group CEO and Founder, Mr. Zak Calisto.
A - Zak Calisto: Good morning, good afternoon to everyone, and good evening. Thanks everybody for making time for us today. I will go through the questions and explain and answer all the questions. I'll first start off with a question from Dylan Becker.
Dylan Becker : Talked about the improving environment in South Africa, most mature market, but still seeing nice growth. How should we think about the runaway year? How much larger can these customers be if they will adopt more of the platform?
Zak Calisto: We saw growth this year in South Africa of 16%. We believe we will continue this momentum and as Hoeshin said, we will be moving to our new office in Johannesburg in September, and that will definitely give us the opportunity to grow our headcount. At the moment, one of our bottlenecks is we haven't got space to house more people. In terms of the platform, we've got -- not all our customers use as much of the platform as they should be using, but we are embarking specifically from September on getting more customers to use parts of the platform that they could be using that they're not using.
Roy Campbell: Next question, Roy Campbell. Roy Campbell from Morgan Stanley, Roy; South Africa. What is your estimated market share in South Africa? What you estimate the penetration rate is? Can you describe the tech competitive environment?
Zak Calisto: So I first would like to say that, I think South Africa is extremely competitive environment. All our competitors have been in the markets for approximately 10 years, more than us. We came to the market in 2004. They've been around from '94 till about '96. They're all very strong, and I think it's one of the geographies that we certainly see strong competition. We estimate our market share in South Africa at this point in time to be approximately 40% of the installed base. That's based on some internal calculations that we've done, but it might not be fully accurate.
Roy Campbell: And what do you estimate the penetration is in South Africa at the moment?
Zak Calisto: We estimate the penetration to be between 3.5 to 4 million vehicles, and the total vehicle Park is 12 million. And we believe that, I've been saying this for years, eventually this will go up where the whole market will be penetrated.
Roy Campbell: Another question from Roy Campbell. Your 16% growth is that, traditional track and trace, or you're gaining more marketing fleet, in the fleets, in the core fleet, fleet telematics.
Zak Calisto: We grew our business in South Africa I think 40% of our growth came from consumer and 60% came from commercial customers.
Alex: A question from Alex, from Raymond James. Can you talk more about your improved macro you're referring to in South Africa? What did you see in June growth relative to prime months?
Zak Calisto: What we see in South Africa, we've, you know, South Africa's had elections and most, most South Africans are very confident that these election results will lead to a better South Africa. And what we are seeing as a business is in terms of customer defaults, that's starting to decrease. That's probably started to decrease about three, four months ago. And I think just generally speaking, also the whole economic environment is starting to look quite positive compared to what it was a year ago.
Alex: From Alex as well. Could you provide some more color on the launch of next gen vision? What percent your commercial customers take on the vision solution?
Zak Calisto: So the next-gen vision, we actually really only started launching it about two months ago. It's not fully launched and we find it to be a very positive uptake and we are very excited about that, Alex.
Alex: What are the ARPU uplifts and what features are in the next-gen product that might increase adoption relative to your prior version?
Zak Calisto: I think the, this version, it's really, it's got more AI than our previous version, firstly. And second of all, there is also improvement on the AI that we had on our previous versions. Also the way it integrates into our platform, it's the improvements there I think are quite big and we actually only rolling out all the improvements within the next two months. So I believe by the time we get to about October, we would've rolled out our new AI capabilities on the video, on the video cameras. Then Jackson, thanks for to, taking my question, I'm Jack from [Kerlingo] Research. I got question on contract geography, Asia Pacific, Midwest in USA got highest rate of subscribers and subscription revenue. We've got low base and compelling regional growth in the area. Could you give some color on growth rate for the region in financial FY ‘25? We certainly believe that we can keep the current growth rates and increase those growth rates and in actual fact, we had a relatively weak quarter in Asia, but we are really seeing a much better quarter now in Q2. Okay. A question from James. Has your investment in hardware related to AI capability is growing dramatically later or is it in line with previous trends? Our R&D is at about 6% of subscription revenue and we are seeing quite a big increase in R&D compared to last year. But I believe, we will by the end of Q4, that we will have that under control. And we are obviously getting much better talent in the R&D department. So overall, I think we're getting much more for our buck in R&D. But despite that, our R&D is going up. Is there any other questions? I think that's all the questions for today.
Zak Calisto: Thanks, everybody for joining us. Thank you. Bye, bye.